Operator: Excuse me, everyone. We now have Sean Reilly and Jay Johnson [Operator Instructions]. In the course of this discussion, Lamar may make forward-looking statements regarding the company, including statements about its financial performance, strategic goals, plans and objectives, including with respect to the amount and timing of any distributions to stockholders and the impacts and effects of general economic conditions, including inflationary pressures on the company's business, financial condition and results of operations.  All forward-looking statements involve risks, uncertainties and contingencies, many of which are beyond Lamar's control and which may cause actual results to differ materially from anticipated results. Lamar has identified important factors that could cause actual results to differ materially from those discussed in this call in the company's second quarter 2023 earnings release and its most recent annual report on Form 10-K. Lamar refers you to those documents.  Lamar's second quarter 2023 earnings release, which contains information required by Regulation G regarding certain non-GAAP financial measures was furnished to the SEC on Form 8-K this morning and is available on the Investors Section of Lamar's website www.lamar.com.  I would now like to turn the conference over to Sean Reilly. Mr. Reilly, you may begin.
Sean Reilly: Thank you, Britney. Good morning all, and welcome to Lamar's Second Quarter 2023 Earnings Call. We had a solid second quarter with revenue growth that accelerated on an acquisition-adjusted basis from Q1 and good discipline on the expense side. That combination translated into growth in adjusted EBITDA on an acquisition-adjusted basis of just shy of 3%, also an improvement from Q1.  Revenue for each of our businesses, billboards logos, transit and airports was up in the quarter. Unfortunately, as we turn the corner into Q3, we observed a slowdown in activity. There is more hesitation on the part of customers to pull the trigger on renewals and new contracts. As we booked fewer dollars, that hurt not just the current month, but also rippled through the balance of the year. That softening combined with weak results from the programmatic channel mean that the top line is not shaping up as we anticipated it would for the second half of 2023.  While we still like what we're seeing on the expense side, we have revised our guidance for full year AFFO to a range of $7.13 to $7.28 per share, as you saw in our release. Pacing's now indicate full year acquisition-adjusted revenue growth of approximately 2%, coupled with full year acquisition adjusted expense growth of approximately 1.5%.  So bottom line on the second half revenue outlook is that we are still growing, just not at the pace we thought we would when we set the full year guidance in February. Back to Q2, categories of strength in the quarter included service, which was up more than 16% as well as amusement/entertainment, education and financial. Weaker categories included gaming, real estate and insurance.  The Atlantic region and to a lesser extent, Gulf Coast and Southwest regions saw good growth, while Northeast and Midwest, which includes the Pacific Northwest lagged. Local revenue for Q2 was up 2.4%, national revenue was up 1.4% in the quarter.  Digital accounted for 30% of our Q2 revenue. Programmatic has been a drag, but nevertheless, we saw improving trends on digital same-store sales, which were down 1% for the quarter, but up 3% for June. As of quarter end, we had 4,612 digital billboards operating, and we are on track to meet our goal of approximately 300 organic conversions this year.  The first half has been relatively quiet on the M&A front as we anticipated that it would be. We are still pursuing deals, but for now, there are fewer sellers in the market. Happily, there is also less competition for the assets we do get to review. As of June 30, we had closed 16 transactions for a total of $42 million. The dollar volume is likely to pick up a bit in the second half of 2023 as we work through deals we have under contract. For the full year, acquisition spend is likely to be somewhere between $100 million and $150 million.  With that, I will turn it over to Jay to walk you through the numbers.
Jay Johnson: Thanks, Sean. Good morning, everyone, and thank you for joining us. We continue to experience modest growth in our portfolio during the second quarter. However, due to the rising interest rate environment, AFFO declined year-over-year as it did in Q1. In the second quarter, acquisition-adjusted revenue increased 2.7% from the same period last year against a difficult comparison in which pro forma revenue growth was 12.2% in the second quarter of 2022.  Our billboard regions grew in the low single digits, with the exception of the Northeast and Midwest, which contracted year-over-year as a result of their exposure to national advertising. Acquisition-adjusted operating expenses increased 2.5% in the second quarter, which was slightly better than anticipated. We now expect operating expense growth for the full year to come in around 1.5% on an acquisition-adjusted basis.  Adjusted EBITDA for the quarter was $253.9 million compared to $243.4 million in 2022, which was an increase of 4.3%. On an acquisition-adjusted basis, adjusted EBITDA increased 2.9%. Adjusted EBITDA margin for the quarter remained strong at 46.9%, which was essentially flat to last year, contracting only 7 basis points from Q2 2022. And despite inflationary pressures over the last 18 to 24 months, the company's adjusted EBITDA margin remains well above pre-pandemic levels.  Adjusted funds from operations totaled $194.4 million in the second quarter compared to $196.9 million last year, a decrease of only 1.2%. This was despite cash interest increasing by $13.8 million over Q2 2022. Cash interest was a headwind of approximately $0.13 per share as AFFO decreased 2.1% to $1.90 versus $1.94 per share in the second quarter of 2022.  An AFFO decline of $0.04 against the $0.13 cash interest headwind underscores the resilience of our business model with a portfolio heavily concentrated in billboards focused on local markets. We experienced acceleration in both local and national business across our portfolio. Local and regional sales grew for the ninth consecutive quarter, increasing 2.4%.  In addition, we saw our national business, which includes programmatic, returned to growth for the first time since Q3 of last year, increasing 1.4%. Local and regional sales accounted for approximately 78% of billboard revenue in the second quarter. On the capital expenditure front, total spend for the quarter was approximately $51 million, including $17.5 million of maintenance CapEx.  For the first half of the year, CapEx totaled $93 million, about 1/3 of which was maintenance. And for the full year, we anticipate total CapEx of $185 million with maintenance comprising $63 million. Volume in our acquisition pipeline has moderated as expected, following 2 extremely active years on the M&A front.  During the quarter, we closed on $28.5 million of acquisitions and should have a more regular level of activity in 2023. Through June 30, acquisitions totaled approximately $42 million.  Now turning to our balance sheet. We have a well-laddered debt maturity schedule and continue to focus on the company's best-in-class capital structure. Earlier this week, we closed on the amendment and extension of our $750 million revolving credit facility, which now matures in July 2028. The transaction was well received by our existing bank group, and we have no maturities into the Term Loan A in February 2025, followed by the AR securitization in July of that year.  In addition, we have no fixed income maturities until 2028. Based on debt outstanding at quarter end, our weighted average interest rate was approximately 5% with a weighted average debt maturity of 4.8 years. As defined under our credit facility, we ended the quarter with total leverage of 3.25x net debt-to-EBITDA, which remains amongst the lowest in the issue of the company.  Our secured debt leverage was 1.09x at quarter end, and we're comfortably in compliance with both our total debt and current and secured debt maintenance test against covenants of 7x and 4.5x, respectively. Despite the sharp rise in interest rates over the past year and based on current guidance, our interest coverage should end the year near 6x adjusted EBITDA to cash interest.  While we do not have an interest coverage covenant in any of our debt agreements, we do monitor this important financial metric. Healthy interest coverage exemplifies the strength of our balance sheet and the company's ability to service its debt. At the end of the quarter, we had approximately $661 million in total liquidity, comprised of $47.8 million of cash on hand, $608 million available under our revolver and $5 million of availability on the AR securitization.  This morning, we revised guidance for the full year and now expect AFFO to finish the year between $7.13 and $7.28 per share. Full year cash interest in our guidance totals $170 million, a $0.50 per share headwind versus last year and includes an additional 25 basis point rate hike in September.  As I touched on earlier, maintenance CapEx is budgeted for $63 million, and cash taxes are projected to come in around $11 million. And finally, our dividend. We paid a cash dividend of $1.25 per share in the second quarter. Management's recommendation will be to declare a cash dividend of $1.25 per share for the third quarter as well. This recommendation is subject to Board approval, and we will communicate the Board's decision later this month.  The company's dividend policy remains to distribute 100% of our taxable income. And for the full year, management still foresees a 2023 dividend of $5 per share, also subject to Board approval. Again, we had solid results with pro forma revenue growth accelerating in the quarter. We are particularly pleased with our efforts around expenses, and we'll continue to focus on expense control in the second half of the year.  I will now turn the call back over to Sean.
Sean Reilly: Thanks, Jay. And again, focus again on expenses. As you recall, on our last call, we anticipated the full year expense growth pro forma would be approximately 2.5%. Year-to-date through Q2, we're running at 2.3%. And again, we expect to finish up the year with full year consolidated expenses around 1.5% pro forma.  A quick word on the impact of political before I get the question. The back half last year, political was about $11.6 million, and that compares to a second half in 2021, a nonpolitical year of a little more than $4 million. So it is creating a $7-plus million headwind in our back half. With a stronger macro, we would have replaced it, but with this weaker macro, not so much.  Let me touch quickly on the impact of programmatic. As we've mentioned, it has been a disappointing year for our programmatic channel. It looks like for the full year, it's going to be down 11% or 12% under last year. If you exclude the impact of programmatic on our same-board digital for Q2, it was actually up 0.1%. And as I mentioned, even with programmatic as a drag, it was plus 3% for June. Similarly, it had an impact on our national book.  If you look at Q2, as we mentioned, national was up 1.4%. If you exclude the impact of programmatic, national was actually up 3.1% in Q2. And we do still expect national to be down 1% to 2% for the full year.  I mentioned categories of strength and weakness. I'll reiterate a few of those and put some numbers around them. I mentioned service, particularly strong, up 16%. That is our largest category of business. Amusement/entertainment was up about 12%. Education was up about 6%, and financial was up almost 8%. On the downside, gaming was down a little more than 4%. Real estate was down a little more than 9% and insurance continues to be a laggard for us, down almost 21% in Q2.  All right. So with that, Britney, you can open it up to questions.
Operator: [Operator Instructions]. And we will take our first question from Ben Swinburne with Morgan Stanley.
Benjamin Swinburne: I guess a couple of questions. Sean, what are you hearing from the field on the local business with obviously the majority of your business. It's an interesting environment because we've got some, consumer confidence is getting a little better. It feels like we're -- not that I am an economist at all, but it's sort of heading towards the soft landing. Do you think this is just sort of the natural lag of kind of this unprecedented rate environment working its way through the system? Or anything else you'd share that might be interesting for us as we think about the ability for the business to accelerate in '24, which I think is probably most people's hunch given how this year is shaping up. That's kind of the first question.
Sean Reilly: Yes, sure. Good question. Of course, we read your note yesterday, that came out, and it was fairly pressing. So I would say that -- I wouldn't call this a Main Street recession. I wouldn't even call it a local ad spend recession. I would just call it a sort of general softening. And it has -- that has spread to the local level. And it's not like we can put our finger on a single thing. I would just call it sort of a general softening. And that's what we're hearing from the field. Just as I mentioned, customers are -- they just have a little hesitancy right now. And on the last call, it was -- it seemed to us that it was relegated to national, and it's become clear to us that a little of that softening is spread to the local level as well.
Benjamin Swinburne: Okay. And then on national. I mean this quarter was actually pretty good, especially ex programmatic, I was a little surprised to hear you reiterate the year expectation. Anything you'd add to sort of the down 1% to 2% after a nice positive Q2 improvement from Q1?
Sean Reilly: Yes. We're seeing it, activity there is okay. Again, if you ask our folks to touch those customers, they would still single out the online gaming and the insurance categories and customers as being a little disappointing this year. But that aside, they really wouldn't put their finger on any one thing. Activity is still there. So we're not seeing the bottom fall out. We're not seeing any wheels coming off. It's just sort of, again, a sort of general softening that's spread a little bit.
Benjamin Swinburne: Okay. And then lastly, just amusement, entertainment at 12%. I don't know how big that is in your book and sort of what the pieces are. But obviously, you have the labor strike going on and Warner had their call this morning, which I don't think you listened to, but they maybe delaying some film releases. Is that an area that we should be thinking about maybe as a risk factor just in terms of the strikes? Or is movie and TV kind of small in that grand scheme of things?
Sean Reilly: Yes. So for us, number one, it's a little over 5% of our book of business. It's the fifth largest category for us. It's not quite frankly, very much your theatrical release movie stuff. That tends to gravitate towards L.A. and New York, which is not a big presence for us. It's really your sort of roadside attractions, concerts, amusement parks, things like that.
Operator: We will take our next question from Jason Bazinet with Citi.
Jason Bazinet: I think maybe I missed it, but on your revenue expectations for the year, I think originally, the old AFFO guide was 4%, I think, top line growth.
Sean Reilly: Correct.
Jason Bazinet: What's the new expectation for top line growth for the year?
Sean Reilly: The new expectation is approximately $2 million for the year.
Jason Bazinet: 2%. Okay. Yes. All right. And then can I ask one question. One of the things that I've always marveled about your business is your verticals can sort of change over time. And the insurance number, I think it's only 3% or 4% of your book of business, but it's such a big drop. But I was going back in time, insurance used to not be -- it didn't show up in the top 10 historically. Is this one of those things that's happening where insurance is going to sort of not show up as a top 10 category? Or is this more cyclical or something going on?
Sean Reilly: So you're right. It's about 2.5% of our book today. Last year, it was a little bit bigger. What goes on with insurance, keep in mind it's predominantly 2 big national accounts. So you put your finger on it, they can swing in and out of our book, they'll come in, they'll go out. It was great up until about the third quarter of last year. And we're in one of those periods where they're just not as big in our book as they have been. We expect they'll come back. Like I said, it's primarily to very large accounts on the national level.
Operator: [Operator Instructions]. We'll take our next question from Richard Choe with JPMorgan.
Richard Choe: I wanted to follow up on the local side. I guess you said there is a little bit more hesitancy, could that hesitancy go away if, I guess, the economy does stay stronger than people think? And I have a follow-up after that.
Sean Reilly: Yes. That's a good question, Richard. And that would be our anticipation for sure. At the end of the day, we are tethered to GDP to a certain extent. And to the extent it serves as a headwind, we're going to feel it. And to the extent it's a tailwind, we're going to feel that as well. So I would anticipate that turning the corner into next year, assuming that the macro gets a little better, then you'll see some good performance out of us. And that will be led by strength at the local level.
Richard Choe: Got it. And on the amusement and entertainment, I guess some of the theme parks are seeing a little bit more pressure from very high levels. Are they changing their spend at all that you can see?
Sean Reilly: No. I mean, because when you think about Lamar and theme parks, it's not so much what happens in Orlando and Disney World and Universal. It's more things like what happens in Branson, Missouri with Dollywood and what happens in Hershey, Pennsylvania with the Hershey theme park. These are regional theme parks that are not necessarily fly in destination, but more the kind of theme parks you drive to.
Richard Choe: Great. And last one for me. On the direct advertising expense, that's -- the expense has been very low relative to the other categories. Are you seeing pressure there in the rest of the year or getting that low?
Sean Reilly: Are you talking about our direct expenses?
Richard Choe: The direct advertising expense line, yes.
Sean Reilly: Yes. So there's a couple of ways that you need to think about that when you think about Lamar. Number one, if you followed us for a while, you know we're pretty good at expense control. There are some expenses at the direct line that flex with revenue.  So if revenue is coming in a little lighter than we anticipate, then expenses will come in a little lighter as well. Those are things like sales commissions, things like revenue share leases. And to the extent we're not hitting our management goals, it will flow down through to management bonuses.  And then there's also some expenses that are related to what we're doing with our ERP conversion. There's been some low-hanging fruit and we're realizing the benefit of some of the IT initiatives that we've had. And that's filtering out into the field as well. So really, those 2 things are helping us out on the expense side.
Operator: And we will take our next question from Avraham Steiner with JPMorgan.
Avraham Steiner: Just one follow-up. I think you had mentioned that the guide is now 2% for the full year revenue growth, I guess, embedded in AFFO. I think a couple of quarters ago, you would disaggregate the 4% as plus 2% organic plus 2% inorganic. Does that mean we're flat on the organic side now?
Sean Reilly: No. That 2% is acquisition adjusted pro forma. It's organic. If you include the impact of acquisitions, it's going to be more like 4.5%, 4.75%, something like that.
Operator: We have no further questions in the queue at this time. I will turn the program back over to Sean Reilly for any additional or closing remarks.
Sean Reilly: Great. Thank you, Britney, and thank you all for listening, and we'll talk again next quarter.
Operator: This does conclude today's program. You may disconnect at any time, and have a wonderful day.